Operator: Good morning. My name is Hope and I will be your conference operator today. At this time, I would like to welcome everyone to the first quarter earnings conference call. After the speaker’s remarks there will be a question and answer session. (Operator Instructions) I would now like to turn the call over to our President and Chief Executive Officer, Mr. Steve Jumper. You may begin.
Steve Jumper: Thank you, Hope. Good morning and welcome to Dawson Geophysical Company’s fiscal first quarter 2012 earnings and operations call. As Hope has already said, my name is Steve Jumper, President and CEO of the company. Joining me on the call is Christina Hagan, Executive Vice President and Chief Financial Officer. As in the past, we’ll do this in three segments. Chris will come on here shortly and discuss our financial results. I will then return for a quick operations update, and then we’ll open the call up for questions. As in the past, the call is scheduled for about half an hour, and consistent with the past, we will not be providing any guidance. At this point, I will turn control of the call over to Christina Hagan, CFO, to discuss financial results.
Christina Hagan: Thank you, Steve. First, I’ll share the Safe Harbor provision. In accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, Dawson Geophysical Company cautions its statements made today in this conference call, which are forward-looking and which provide other than historical information, involve risks and uncertainties that may materially affect the company’s actual results of operations. These risks include, but are not limited to, the volatility of oil and natural gas prices, dependent upon energy industry spending, disruptions in the global economy, industry competition, delays or cancellations of service contracts, higher fixed costs of operations, external factors affecting our crude such as weather interruptions, an inability to obtain land access rights of way, whether we enter into turnkey or term contracts, crew productivity, limited number of customers, credit risk related to our customers, the availability of capital resources and operational disruptions. A discussion of these and other factors, including risks and uncertainties, except for what’s in the company’s Form 10-K for the fiscal year ended September 30, 2011. Dawson Geophysical Company disclaims any intention or obligation to revise any forward-looking statements, whether as a result of new information, future events or otherwise. During this call we will make references to EBITDA, which is a non-GAAP financial measure. A reconciliation of the non-GAAP measure to the applicable GAAP measure can be found in our current earnings release, a copy of which is located on our website www.dawson3D.com Today, we reported revenues of $92,382,000 for the quarter ended December 31st, 2011, the company’s first quarter of fiscal 2012, compared to $72,653,000 for the same quarter of fiscal 2011, an increase of 27%. Net income for the first quarter of fiscal 2012 was $3,231,000 compared to a net loss of $1,667,000 in the same quarter of fiscal 2011. Earnings per share for the first quarter of fiscal 2012 of $0.41 including an $0.18 per share resulting from a one-time tax benefit that related to transaction costs, compared to a loss per share of $0.21 for the first quarter of fiscal 2011. EBITDA for the first quarter of fiscal 2012 was $11,028,000 compared to $4,899,000 in the same quarter of fiscal 2011, an increase of 125%. As previously announced, the company’s board of directors has approved a $20 million capital budget for fiscal 2012, which has been used in part to purchase twelve vibrator energy source units, additional geophones, and the remainder will be used to make the necessary maintenance requirements during fiscal 2012. Our ongoing investment in seismic data acquisition equipment and technology reflects our continued belief in the overall strength of the seismic market and growth opportunities at Dawson Geophysical. Steve.
Steve Jumper: Thank you, Chris. Let me just start by recapping our fiscal first quarter highlights, some of which Chris has already mentioned. These highlights include, as Chris said, reported revenues of $92 million for the quarter ended December 31 of ’11 compared to $72.6 million for the quarter ended December 31 of ’10, an increase of 27%. EBITDA for the quarter ended December 31, ’11 increased $11 million compared to about $4.9 million for the quarter ended December 31 of ’10, an increase of 125%. Earnings per share for the quarter ended December 31, ’11 increased to $0.41 per share, including $0.18 per share benefit from one tax benefit related to transaction costs, compared to a loss of $0.21 per share for the quarter ended December 31 of ’10. Our order book is capable of sustaining 14 data acquisition crews well into fiscal 2012. During the first quarter, we took delivery of 12 more Innova vibrator energy source units. We continue to have a balance of portfolio projects in Eagle Ford Shale, Niobrara, Bakken, Barnett, Permian and Mid-Continent with some activity continuing in the Marcellus Shale. Balance sheet was $72 million of working capital and low debt position. Continued operation on 18,000-channel ARAM cable-based project in New Mexico. Commenced operation on a large project in West Texas utilizing 10,500 channels of the FairfieldNodal ZLand recording system. Completed a multi-component project utilizing 4,000 OYO GSR four-channel units along with the three component geophones. Continued field testing of the wireless seismic RT 1000 recording system in the Fort Worth basin and Oklahoma. Operated five ARAM crews, for OYO RSR crews, three OYO GSR crews and the one crew equipped with the least FairfieldNodal ZLand equipment. I would like to add and I’m proud of the fact that this is our third consecutive quarter of positive earnings. Fiscal 2012 is off to a good start, our best start since fiscal 2009. The difference between today and the beginning of fiscal 2009 is the direction we believe our industry and business as a whole is headed. In 2009, after the economic downturn of late 2008, demand dropped precipitously, and as we start fiscal 2012, momentum continues to build for our business. We had the redeployment of two data acquisition crews during fiscal ’11 combined with increased channel count demand and improved utilization rates drove our first quarter success. While shorter days, access restrictions related to hunting activities and inclement weather, particularly in December, had a negative impact on first quarter results, demand for our services is strong. As I’ve said, we’re seeing increased activity in the Eagle Ford, the Bakken, the Niobrara, the Mid-Continent and the Permian as well as continued operation in the Barnett and the Marcellus. All these areas are keeping all of our data acquisition crews busy. Our order book is sufficient to keep 14 crews active and busy well into fiscal 2012. Improved contract terms and greater operational efficiencies drove our revenue growth and improved margins from a year ago. These accomplishments, combined with our expanded inventory have enabled us to better serve our valued clients, expand our order book and create new opportunities as we move into fiscal ’12. One of our key differentiators continues to be investment in technology and expansive inventory. Our existing and new inventory of vibrator energy source units, reporting channels and talented personnel allow us to operate in more basins, provide services to more clients and provide a higher quality of service. Within the past year, we’ve added 22 of the Innova vibrator energy source units, 25, 850 OYO single channel units and 2,000 OYO GSR four channel units, bringing our total of the four channel units up to 4,000 total in our inventory. The increased inventory and investment in technology is further enabling us to help our clients better identify, develop and produce oil and natural gas reservoirs, both conducive to hydrocarbon accumulation at lower price points. As we look forward to 2012 and beyond, we’re seeing a greater number of expiration companies expand their search for oil and liquid extremes, companies that were relocating capital and investing billions of dollars to successfully exploit these plays and we are working side by side with many of these companies. Like I said, we’re off to a great start in ’12 and I’m confident that our commitment to our employees, our clients and shareholders will bring new opportunities for us here at Dawson Geophysical during the course of fiscal 2012. With that hope, we are ready for questions.
Operator: (Operator Instructions) Your first question comes from the line of Collin Gerry, Raymond James.
Collin Gerry - Raymond James: Good morning.
Steve Jumper: Good morning, Collin.
Collin Gerry - Raymond James: Steve, I’ve got a question. It seems a theme we’ve talked about for the last, I don’t know, 18 months, is the bigger channels or more channels per crew, bigger crews if you think of it on a channel count basis. What we thought about was maybe we’d see some increased efficiency as utilization would improve with that kind of trend. Could you maybe talk to that and maybe tell us how that’s progressing or if you’re seeing that yet?
Steve Jumper: I believe we are seeing it. These projects that are in the order book now, they’re ongoing currently and coming into the future. Our increased channel count projects, the majority of them are, as we’ve talked about in the last couple of quarters, in the western US, Permian Basin, Delaware Basin, the Mid-Continent region, all the way up through the Niobara and Bakken into North Dakota. So, you’re in areas where there is more wide open spaces, easier access, for the most part. There are some places that we still operate, in Oklahoma, for example, that have some access issues. But, for the most part, we’re in areas where I believe we can really continue to build on the efficiencies. The channel count is really working in a couple of ways, Collin. Actually, three ways. One, the projects are getting larger so having the required number of channels just to actually take on the project is a big key. The density of the channels in any given area—let’s just say the given area is a square mile—per square mile unit, the number of channels within that square mile are increasing. So, you’ve got to have more channels because of just the aerial size of the coverage. You’ve got to have more channels because of the density, and you’ve got to have more channels to have enough equipment to move into to create the efficiencies that you’re looking for. I think we’re certainly starting to see that, particularly as we’re moving off of the legacy contracts, most of the larger ones of which who have been priced out and completed, so we have a pretty good feel that our efficiencies are getting better each day, and they have been. I think that has shown up in our results here in the last three quarters because I really don’t think that we’re fully priced in yet. We’re still a little bit behind the curve and still got some work to do, but we’re certainly very pleased with the efficiency of our operation so far, particularly when you get to some of the cable-less equipment.
Collin Gerry - Raymond James: Okay. Following that kind of line of thought, and you’re not going to like this question, I hate to tell you, but you brought up the ’08 kind of ’09 period and the comparison there. If I look back, we were getting gross margins in the mid-20’s. Now, I recognize seasonally, this was not the strongest quarter for you guys. You did 20% margins the prior quarter, but how unreasonable is it to expect in this current cycle we can get back to that mid-20’s?
Steve Jumper: In this current cycle, I think it is certainly possible. I think it’s something we’re striving for. I think it’s something that we see. The timing of where we are in the cycle and when it occurs would be difficult for me to answer. Collin, we always struggle a little bit and you know this and some of the other folks that cover us know this. We always struggle with this margin issue because we carry this high level of third party charges, these reimbursable charges related to permit fees and helicopter and dynamite and all these other things that we’ve exhausted the conversation on it for years. Historically, we’ve always said that those revenue items have been approximately 25% to 35% of our revenue stream, and I’ve said for the last several quarters, maybe the last year, that percentage has been above the high side of that range, almost to the point that a few quarters back we reported about half our revenue growth was related to reimbursables. I’ve said that I felt like those were going to get back down into normal range, which has an apparent effect on margin. I think that’s true. We’ve got a couple of things. The timing of some of these reimbursables from Q3 to Q4 to Q1 have been a little bit funny, just the timing of which they’ve been paid and presented themselves as related to crew revenue once you start production on those jobs, so we’ve seen a little bit of lumpiness, particularly in that part of our revenue stream from Q3 of ’11 to Q4 of ’11 into Q1. My gut feel is that while it will not be as high as it was early in fiscal ’11, it’s going to continue to be higher than it was in ’08. The reason I say that—it is going to come down as we move farther west, but we’re seeing some increases in some other charges. For example, land access permit fees have escalated quite a bit in the western US, so as we’ve come back west we’ve seen higher cost related to permit fees and the permit process in general. We are swinging back on helicopter usage; survey usage is coming back down because we’re in wide open spaces. We’re still seeing a little bit of activity with more dynamite charges than I thought we would see, particularly in the Oklahoma, Kansas, mid-continent region, but if I could give any guidance, I would say compared to ’07, ’08 to where we are now, I would probably move that range from a 25% to 35% range, from a 35% to lower 40% range as a percentage of revenue on a go-forward basis. I think it’s down from where it was in early ’11 and ’10 on a percentage basis, but it doesn’t look like it’s going to fall to the level like I thought it would in ’07 and ’08. The backside of that, though, is we’ve seen increase in contract revenue continue to grow from ’09 and ’10 and we’re not to where we were in ’07 and ’08. I think the underlying margins, the margins net of reimbursables is improving, but, yes, even with the reimbursables in there, I think if we get back down to what I think would be a consistent level, and as crew revenue, contract revenue continues to increase, I think mid-20’s is achievable in this cycle. I’m just not going to lay the guesswork as to where we are in the cycle and when.
Collin Gerry - Raymond James: Okay, that’s certainly helpful. Last one for me, and I might have missed this on the call, did you give us what your current channel count and fiber size unit count is?
Steve Jumper: I think we’ve got about 169 of the vibrator energy source units. I think we’ve got somewhere in the neighborhood of about 161,000 channels companywide. We continue to replace some of the older legacy channels. We’re starting to reduce the RSR crew count. For example, it’s dropped from six to four as we continue to redeploy RSR channels onto other RSR crews, and we continue to do the same thing with the ARAM as we’ve replaced existing channels with new channels, particularly the cable and stuff. We’ve moved the cable channels around to get greater utilization and I think we’ll continue to see that on a go-forward basis. So, it’s about 161,000. We have replaced some of the MRX stuff we had in the last few years, so the channel count growth is really interesting in that not only has it grown in channels per crew, but the type of channel and the replacement level of those channels has actually been in play, too, so we’ve actually increased channel count a little bit more than is probably apparent.
Collin Gerry - Raymond James: Alright, that’s it for me. Thanks again.
Steve Jumper: Thanks, Collin.
Operator: Your next question comes from the line of Veny Aleksandrov with Pritchard.
Veny Aleksandrov – Pritchard: Steve, Chris.
Steve Jumper: Hi, Veny. How are you?
Veny Aleksandrov – Pritchard: Good, thank you. My first question is on demand. You talked in the press release that demand is picking up in oil and liquids rich areas. Can you talk a little bit about dry gas areas and are you seeing a shift of demand out of these ones? Are you seeing any contracts being cancelled?
Steve Jumper: Good question, Veny. We’ve talked for about the last three, four, five quarters, or something like that, really going back into late fiscal ’10, that we were beginning to see this shift into the western US, which is primarily driven by oil and liquids. Our activity level, particularly back in the Pennsylvania, West Virginia area, is certainly down from where it was. We currently do not have a crew operating in the area. We talked in the last quarter that we were going to have some shifts in crew movement from the Appalachian region back to the west and we had some crew moves in Q1 that moved from North Dakota back south into Texas and some as far south as Texas, some into Wyoming. Those crews will go back up north and we will go back in the Appalachian basin, the Marcellus region. We’re scheduled to go back. We were going back this spring, but we’ve had some delays and some permit issues, so it looks like we won’t be back until later spring, early part of the summer. We do have some projects in the Marcellus region and we have some bids out in the Marcellus region and we think we’re going to be awarded a few more. My gut feel is that we’ll probably keep one crew back in the Marcellus starting midsummer—I mean late spring, early summer. It’s a little slow right now back there from a bid perspective. We’re seeing some activities, certainly, west of there as you get into more of the Utica type stuff, but I don’t know it that’s something we really need to focus on right now. It could just be timing issues related to when the bids are out, but we’re certainly seeing more focus back west in oils and liquids and don’t have any activity right now in the Haynesville, although we have some talk of that. I think on a go-forward basis, I think we’re probably looking at one crew going back to the northeast sometime late spring, early summer.
Veny Aleksandrov - Pritchard: Thank you, and my second question is there is a mention in your press release that you’re running field tests with a wireless recording system RT 1000. Can you tell us a little bit more about that?
Steve Jumper: That’s a project that we’ve been testing some of their equipment. They’re a company that has a little bit different technology and we’re in a situation where we’re testing on behalf of them and on behalf of one of our clients. It’s not a large system at this point. They have plans to grow it, but it’s just a new technology that has been out, that has been developing and we’re encouraged by it and it’s something that I think has some application in certain areas. That’s really about all I can comment on it right now, Veny.
Veny Aleksandrov - Pritchard: Thank you. Yeah, that’s great. My last question, and I will queue again, the [Innova tracks], you bought 12 this quarter. How much out of your $20 million cap of this do you have available?
Steve Jumper: I think we’re probably into somewhere around 12 through the quarter. We’ve got probably right at $8 million on the approved budget as of September of ’11. You know, Veny, as we’ve talked in the past, our capital budget moves pretty quickly. If you go back and you just look at the last three or four years, we’ve had a capital budget of 20’s to start the year and ended up spending upwards of $55 million to $58 million. We’ve had a capital budget of 20 and ended up spending four in ’09, I believe. In ’11 we had a $20 million budget. I believe we spent somewhere around $58 million, so we’ve got $8 million under the approved budget. It’s maintenance capital. There will be some increased channel count in that. There’ll be some geophones, some vehicles, stuff like that, but as we move into ’12, as demand for channel count increases or a switch out of technology or something like that, we’ll have the balance sheet and the resources to move on those changes as they occur.
Veny Aleksandrov - Pritchard: Thank you so much. I’ll re-queue. Thanks.
Steve Jumper: Thanks, Veny.
Operator: Your next question comes from the line Georg Venturatos of Johnson Rice.
Georg Venturatos - Johnson Rice: Good morning. How are you all doing?
Steve Jumper: Hi, Georg. How are you?
Georg Venturatos - Johnson Rice: Good. Steve, I was hoping you could give me just a little clarification on the mid-2010 price projects. I know you all had spoken about being through those by end of calendar ’11. I just wanted to get a status update there.
Steve Jumper: The large ones, I think, we’re through the stuff that was priced in ’10 and early ’11. I think we’re through all that, Georg. You’ve always got some small projects here and there that got hung up for a permit, land reason, or whatever the case may be, so there are some isolated small ones that are out there. So, I feel like to the best of my knowledge at this point, I think the ones that were out there are probably behind us. I would continue to stress this fact to you, Georg, is that we’re always behind the pricing curve a little bit, so as we move through the year, we’ll continue to work off stuff. Contract terms continue to improve and become more favorable, so stuff we’re bidding now will be acquired or completed mid-year calendar ’12, something like that, so we’ve gotten out of most of it. Stuff we’re on now and going forward certainly has more favorable terms, and we think they’re favorable terms for us and the user because we’re starting to see these increased efficiencies. We’re starting to see increased channel count, so when you look at the value that we’re bringing to the table now with increased channel count and higher resolution, we think we’re certainly creating value for our clients, but I think we’ll continue to work into better stuff and certainly to get more efficient as we go. So, I’m encouraged moving into ’12 and what I see going into ’13.
Georg Venturatos - Johnson Rice: Great. Appreciate it. And, just to take a step back and look at first quarter results, I know last quarter you all spoke of October and November, weather was pretty difficult, and then it sounded like December you called out as particularly difficult in a release today, so just trying to get a sense of how much is non-recurring there in terms of weather and potentially mobilization, time-down issues in the quarter that we could see rebound sequentially looking out to the second quarter.
Steve Jumper: I don’t know if I can quantify all that for you, Georg. We did have a pretty rough December. We had the weather issues; we had some restricted access issues in a certain part of the country, particularly related to hunting activities. We had the holiday season. We did have the demote, the unexpected move from North Dakota down south. We had the expected move in the Appalachian back into Texas. I just think it’s hard for me to quantify that. What I would say, Georg, is that I would certainly anticipate on a go-forward basis, particularly as we get into the summer months, we get into longer days, that we should see sequential improvement. To what level, I’m a little hesitant to say.
Georg Venturatos - Johnson Rice: Right, understood. Thanks, Steve, appreciate the answers.
Steve Jumper: Thanks, Georg.
Operator: (Operator Instructions) Your next question comes from the line of A. J. Strasser with Cooper Creek Partners.
A. J. Strasser – Cooper Creek Partners: Hi, Steve.
Steve Jumper: Hi, A. J. How are you?
A. J. Strasser – Cooper Creek Partners: Good. Good morning to you. Thanks for taking my question. Just a few questions for you. Could you just put in perspective the third party charges this quarter versus Q4. Were they higher by any chance in Q1?
Steve Jumper: On a percentage basis, they were. We kind of addressed this a little bit earlier. I think we had some timing issues with some of these third party charges, timing as compared to when crew revenue was actually generated from Q3 to Q4 to Q1, so I think they were a little bit lower than anticipated in Q4. I think they’re probably at a level in this quarter that may be a little bit high but I do think those charges are going to stay in the, as a percentage of revenue, probably in the 35 to low 40 range percentage bases, which is up from where they were in ’07 and ’08, which is down from where they were in, let’s say Q1, Q2 and Q3 of last year. So, I think what’s going to keep them higher than they were historically is just the fact that we have just the cost of doing some of this business, particularly related to land access permits, is higher than it has been in the past, but it’s going to come down because of the areas that we’re working in, the access issues are better, so that’s about as good as I can answer it, A. J.
A. J. Strasser – Cooper Creek Partners: Okay, and, regarding the top line, should we expect -- is this kind of revenue run rate here in terms of going forward throughout the year?
Steve Jumper: I think that we’ll be somewhere in that neighborhood. It’s real difficult to say with those third party charges. It’s my belief at this point, just based on where we are and what I see and the way things ought to happen, for as we move into better weather seasons and longer days and those types of things, more utilization of the oil equipment that we’re starting to see, I would think that crew revenue, contract revenue should continue to increase. So, I think we’ll certainly be -- the variable is going to be the timing of the third party charges, but yes, I think we ought to see increases from the current run rate where we are now.
A. J. Strasser – Cooper Creek Partners: Just a housekeeping item. Were there any charges related to the merger that hit you guys in this last quarter at all?
Steve Jumper: The only thing that got us in this quarter—and I’m not an expert in this area and I don’t know that any of us around here are—was the fact that the merger was terminated in Q1 brought some of the expenses we had in fiscal ’11, brought it down to where there was a tax benefit that was not realized during the ongoing transaction to the tune of about $0.18, but in terms of just transaction cost, I think we’ve run off of that, so this ought to be the last quarter that we have anything connected to the transaction of ’11.
A. J. Strasser – Cooper Creek Partners: Okay, and then just piggybacking on Veny’s question, currently, how many crews do you have working in gas regions? I missed it. Is it none?
Steve Jumper: Right now, I think we’ve got one that’s doing some gas stuff in the Barnett that’s just primarily gas in the Barnett. We should have one back east in Pennsylvania later in the spring—early summertime, I believe.
A. J. Strasser – Cooper Creek Partners: When was the last time you touched base with the customer in terms of having that crew out there in the Marcellus? Obviously, we’re hearing capex budgets cut here from Chesapeake, et cetera. Do you still feel comfortable with that? Is that something that you have recently confirmed? I’m just curious. It’s a recent issue.
Steve Jumper: Some of the projects back there that we’re working on and we’re waiting, that we hope and believe that will be awarded, most of them are being driven by getting the necessary permits in place, getting things ready to go, more so than where current gas prices are. Bid activity may be related to that. But, A. J., I feel as comfortable about it as I do all of our projects. All of our projects can vary in size, change in scope, be delayed, be cancelled any given time. That’s why the order book is so important, that you just don’t talk about it being into certain months or into a certain time period, or whatever the case may be, because you’ve got to have a deep, wide order book to reach those utilization rates. I think that’s one of the things that is improving day by day as our order book’s not only getting deeper, but it’s getting wider with various size projects that we think will allow us to keep the utilization rates higher. So, yes, I feel good about us having a crew back working in the northeast and we’ll just have to see what happens in the next 60 to 90 days in that area.
A. J. Strasser – Cooper Creek Partners: Okay, and you haven’t seen any pricing pressure on your crews working in oily areas as maybe some of your competitors shift away from gas? Has that -- ?
Steve Jumper: I think there’s a lot of activity going forward so we feel pretty good about where we are and what it looks like going into ’12. I don’t think we have a real concern with the 14 crew level at this point.
A. J. Strasser – Cooper Creek Partners: Okay, and then my last question, and I appreciate it, is it sounds like you’re basically telling us that you’re going to be in this 35% to 40% third party charge range for the foreseeable future. That said, with margins here hovering in the mid-teens basis, is there any reason that we should be assuming a return to those old margins anytime soon? It sounds like you’re saying no and I’m just trying to understand.
Steve Jumper: As we’ve talked about with Collin earlier, he asked about can we get into the mid-20’s, and the answer to that is yes, I think that’s achievable. The question was can we do it in this cycle. My answer to that is yes, I think it’s achievable. Will the third party charges come down? Possibly. I think eventually they will as we continue to move into particularly some of the West Texas areas. I think crew revenue is going to continue to increase and so I think we could see some shifts in there. Is it achievable in this cycle? Yes. Where are we in this cycle and what’s the timing of that would be the thing that is difficult for me to answer, and I borderline here on not giving any guidance on it. I’m trying to help the best I can without giving margin guidance, if that makes any sense.
A. J. Strasser – Cooper Creek Partners: Okay, that’s very helpful. Thank you for taking my questions.
Steve Jumper: Thanks, A. J.
Operator: Your next question comes from the line of Bob Johnson with Satuit Capital.
Bob Johnson – Satuit Capital: Steve, bear with me, if you would, with one additional question in regards to the third party reimbursement. What’s the normal pattern between when you incur those charges as an expense and then when you get reimbursed? Does it typically happen within the same quarter, or might it go on to subsequent quarters?
Steve Jumper: You’re asking about the timing. I think it’s going to flow through the balance sheet with about the same rate all the receivables do, which is 45 to 60 days, something like that. Now, some of these areas, Bob, if they get excessive, we make other arrangements with our client, but for the most part, I think they turn about the same rate our other receivables, all of our receivables, do.
Bob Johnson – Satuit Capital: Okay, fine. Thanks.
Steve Jumper: Thanks, Bob.
Operator: (Operator Instructions) There are no further questions at this time.
Steve Jumper: Hope, thank you very much. I want to thank everybody for listening in. I appreciate the interest in our company and very much appreciate the questions that you have. Obviously, we’re pretty excited about where we are—three straight quarters of positive net income. After a rough stretch, we do think we’re seeing the uptick in our industry. We think we are here on an up cycle. Here, again, we don’t know where exactly we are in the cycle, but we’re excited about fiscal 2012 and beyond. We are really proud of our employees and our company and the operation and service that they’re providing. I think we have activity levels to sustain 14 crews. We do think that we’ll be seeing increase in channel count as we move through the year, so you put all those things together with current market conditions and we’re certainly excited about where we are. I’d particularly like to thank our employees for their continued effort, our clients for their continued trust, and our shareholders for their continued support. I would note that we will be presenting at the Intercom Oil and Service Conference in San Francisco on February 21st. There will be a webcast of that, and we will be presenting at the Raymond James Conference the first week of March, I believe, in Orlando, and there will be a webcast of that. You can get information on our website, www.dawson3D.com. Thank you for listening in. We look forward to talking to you again in 90 days. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.